Operator: Good day, ladies and gentlemen, and welcome to the MakeMyTrip Limited Fiscal 2019 First Quarter Earnings Call. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the conference over to Jonathan Huang, Vice President, Investor Relations. You may begin.
Jonathan Huang: Thank you. Greetings, and welcome to MakeMyTrip Limited's fiscal 2019 first quarter earnings call. We wish to remind everyone that certain statements made on today's call are considered forward-looking statements within the meaning of the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance, and by their nature, are subject to inherent uncertainties and actual results may differ materially. Any forward-looking information related on this call speaks only as of this date, and the company undertakes no obligation to update information to reflect changed circumstances. Additional information concerning these statements are contained in the risk factors and forward-looking statements section of the company's annual report on Form 20-F, filed with the SEC on June 20, 2018. Copies of these filings are available from the SEC or from the company's Investor Relations department. On our call today are Deep Kalra, our Founder, Chairman and Group CEO; Rajesh Magow, Co-Founder and CEO India; and Mohit Kabra, our Group CFO. And now let me turn the call over to Deep to start the discussion for today.
Deep Kalra: Thank you, Jon, and welcome everyone to our first quarter earnings call for fiscal 2019. I'd like to begin by sharing my optimism for the long-term growth opportunities ahead of us as India's leading online travel agency. The MakeMyTrip Group is well positioned to ride the multiple growth tailwinds available. This includes operating in the fastest-growing large economy with an attractive and growing leisure travel market overall, with underpenetrated online booking segments like domestic and outbound hotels and accommodations, outbound flights intercity road transport like bus and car. Further fueling our optimism is the 0.5 billion-plus Internet users in India today, most of who are expected to evolve from lookers into bookers over the coming years. Before I get into the quarter, I'd like to share an update on the domestic aviation industries. While on the one hand there is positive news, where some of the key airlines have announced that fleet expansion plans based on robust long-term passenger traffic growth forecast in the short-term the industry could be facing some turbulent times ahead. In the past year, airlines have been dealing with higher fuel cost, a weakened rupee exchange rate and difficulties in raising fares to offset rising cost. The recent strong growth in passenger traffic that we've seen has largely been driven by strong pent-up demand and affordable fares. However, we believe the growth trends seem so far may be challenging to sustain unless yields can match increases in supplier input costs. That said, we continue to believe like some of the leading airlines who have announced expansion plans that India remains an attractive growth market for many years to come. Now let me move on and discuss our latest achievements in Q1. Armed with 3 of the most recognized online travel brands in India, we saw more than 204 million total unique visitors access on multiple platforms. We logged over 33 million life-to-date transacting customers and engaged with nearly 21 million monthly mobile active users. Furthermore, I'm pleased to share that our MakeMyTrip Black Loyalty program has enrolled over 900,000 customers since its launch in July, 2017. In addition, our subscription-based MakeMyTrip Double Black program, which was introduced a month after our Black program, now has over 33,000 paying members. I'm encouraged to see that both programs have been successful so far as we see significantly higher repeat transaction rates from these cohorts. This quarter, for Goibibo, we also introduced a brand-new loyalty program for its users, which aims at encouraging increased user-generated content through gamification and rewarding them with goCash Plus credits, which they can use for future travel redemptions. Members will also have the ability to reach higher levels and status by engaging and contributing more on the platform. As we move forward, we plan on leveraging these innovative programs to improve repeat rates and retention, while simultaneously optimizing marketing spends and expanding our customer reach. As the leader of online travel in India, we remain committed to driving faster innovations to better our user's experience across all brands. The key areas of tax-related investments for us have been in AI, artificial intelligence, machine learning and natural language processing. Some of these investments have already begun to bear fruit. In Q1, Goibibo's chatbot Gia had made major breakthroughs in usability and helped us reduced the number of post-sales conversation that require human intervention by almost 10%. We were highly encouraged by these early results and have since rolled out Gia for all train customers who book on Goibibo. Additionally, our integration with WhatsApp allows Goibibo customers to fully utilize new features seamlessly via the chat app, including flight check-ins and hotel review submissions. At the same time, this also gives us the ability to reach new users who are coming online for the first time. Similar to Gia brands, MakeMyTrip has also launched its own chatbot called Myra. The new bot is initially being rolled out for domestic flight bookers, and our team is pleased to share it has already seen 70% accuracy in users' intents. Given the rapid success we've achieved in accuracy, our plan is to further roll Myra out to other lines of business shortly. Now I'd like to provide an update on our partnership progress with Flipkart. Since April, we have successfully integrated our domestic flight's funnel with a Flipkart app, and we are now moving to integrate other lines of business onto this platform. As mentioned last quarter, we've also integrated redBus with PhonePe, Flipkart's UPI-based digital wallet platform. As of June, Goibibo's hotel offering have also been integrated, and we are now aiming to integrate Goibibo's flight-ticketing offerings onto the PhonePe platform as well. Lastly, we received -- we recently announced our investment in Bitla Software, India's leading travel-focused technology provider. Bitla has a suite of SaaS, cloud and mobile-based solutions that are widely used by domestic and international bus operators, bus GDSs, online ticketing portals, hoteliers and holiday tour operators. While working closely with Bitla, we will be able to help solve industry supply challenges, while helping to bolster our own technology capabilities, especially from supplier-facing perspective and accelerate the industry shift from off-line to online for travel needs. And enhancing and augmenting our tech capabilities, we'll also be able to further build and higher competitive advantage in the market. With that, I'd like to turn the call over to Rajesh.
Rajesh Magow: Thanks, Deep, and hello, everyone. I would like to begin by sharing a quick summary of our accomplishments in the first quarter of fiscal 2019. I also want to mention that this quarter, we have made a key reporting change. We are placing revenue less service costs or net revenue with adjusted revenue. This change was necessary, as we have adopted IFRS 15's revenue recognition rules starting this quarter. The definition of adjusted revenue enables us to continue presenting and comparing our -- through top line on a like-to-like basis as we had reported in the past with net revenue or revenue less service costs. I'm delighted to share that the MakeMyTrip Group reported gross bookings of over $1.4 billion and over $170 million in adjusted revenue, which was previously called revenue less service cost or net revenue. Additionally, the contribution of our hotel and packages business to total adjusted revenue stands at over 55%. During the past quarter, we locked our highest ever quarterly room nights, with nearly 6.5 million actual room nights stayed in our standalone hotels business, a growth of over 18% year-over-year. During the quarter, our team continued to focus on expanding our presence in alternative accommodations as well as work to directly contract hotels in key destinations outside of India, as we still see large headroom in the accommodation space due to the low penetration. In our air ticketing business, nearly 9.2 million flight segments were flown by our customers during the past quarter. The number of air ticketing segments grew by over 17% year-on-year, and we have maintained our leading domestic air market share position of over 24%. At the same time, we continue to see healthy online outbound flight growth as we shift customers online for their booking needs. While the domestic air market adjusted healthy growth in Q1, we are also mindful of the short-term headwinds faced by the domestic carrier, as they have to operate with rising fuel prices, a weakening rupee exchange rate and challenges in raising ticket fares to contend with the rising input costs. Lastly, our bus ticketing business also witnessed very strong growth momentum with nearly 50 million tickets traveled for the fiscal first quarter, with growth of 54% year-on-year. We are excited about this fast-growing segment that's worth roughly $3.5 billion today. We are further excited by the less than 10% penetration available in the government-owned and operated bus market across India. I will share a bit more detail later on this. Now I would like to share some highlights from our strategically important online hotels business. We continue to focus on rolling out product and UI enhancements, which are relevant and useful to our customers and are brand-centric. During the past quarter, we positioned the MakeMyTrip brand to cater to the premium end of the hotel market as well as offer increasing number of alternative accommodations on our online platforms. We rolled out our new progressive web app to help reach new customers who are not on our apps already, thereby driving increased conversions. We have also materially increased the quantity and quality of our online hotel reviews and ratings, including adding new video reviews to aid in conversions. Additionally, AI and machine learning were employed to better users funnel experience, and we plan to make more tweaks to further personalize user's experience in the future. Now I would like to provide an update for brand Goibibo, which we are positioning to address the value-conscious traveler. In fiscal Q1, our GoStays supply was completely overhauled to help us achieve sufficient coverage of value hotels in all key locations across the country. If you recall, GoStays is our network of certified independent third-party hotels, who are required to meet certain quality standards. I am pleased to share that we now have GoStays properties across 2,600 frequently traveled locations in India, and we'll look to increase this supply going forward to expand choice for users. Additionally, we've also rolled out the Pay-at-Hotel plan to over 70% of all GoStays properties during the quarter, as well as launched an option of free cancellation till check-in to end users. Lastly, by working with our supply partners, we have been able to introduce an early check-in option for nearly 3,000 GoStays properties, which helps to address the needs of certain travelers in India. As you can see, with a strong business relationships and market-leading room night volumes with suppliers, we have been able to innovate and deliver, to our users, a highly differentiated product and experience. Now I would like to comment on our domestic air ticketing business. In Q1, we continue to see strong growth for domestic and outbound air bookings. During Q1, we introduced several product features to enhance customer experience, for example, we rolled out a Book Now and Pay Later option for users of our android app, we also further enhanced the user interface on seat selections and we have seen seat preselection and payments from customers more than double in attach rate in just 1 quarter's time. We've also added a short-listing option on the android app to help users find deferred flights and quickly checkout of the funnel to aid in conversions. Lastly, as part of our efforts to constantly improve the content on our platform, the flight team launched a flight comfort and amenities rating. This helps our long-haul international customers determine which amenities are on board, and we have assigned a 1 to 10 rating to flights to assist in their decision process. Lastly, let me quickly share some highlights of our redBus business. As I had mentioned earlier, the reserved bus ticketing market for intercity buses in India is worth about $3.5 billion in bookings. What is exciting to us is that online penetration is roughly 40% in the private bus market, but with our redBus brand as a clear market leader, and the roughly 10% online penetration in the government-owned and operated bus market across India today, we believe leveraging our cloud-based SaaS platform, industry-leading mobile apps, with 20 million-plus installs and end-to-end technology stats that covers the entire bus industries ecosystems, gives redBus significant lead and competitive advantage relative to any other player. Furthermore, with the central government's digitization drive, we expect many regional transport corporations to also speak to sell more of their inventory online that's creating tremendous growth opportunities for clear leaders ourselves. Apart from India, redBus also has operations in Southeast Asia and LATAM, these markets have a highly fragmented seller base, low-technology adoption among bus operators and largely off-line ticketing for intercity buses. There exists significant long-term opportunity for redBus to transition these markets towards online sales using our technology platform going forward. In Q1, in line with our strategy to address the challenges of a highly fragmented and largely off-line bus supply in India, we added 2 new state road transport corporations in South India. We launched a new initiative with supplier in an effort to improve rider's experience to drive on-time performance via incentives and penalties. We also rolled out an automatic self-help option on all channels to assist customers with government queries like cancellations and refunds. As you may recall, last quarter, we announced that we have received an operator license in Indonesia, and I'm pleased to say that we have recently signed the #1 bus operator in Indonesia. Onto our SaaS-based booking platform, going forward, we plan on driving rapid growth of this segment by adding more domestic bus inventory, acquiring new customers and keep rolling out our platform in overseas markets. Now let me hand it over to Mohit, who will share more details about the quarter.
Mohit Kabra: Thanks, Rajesh, and hello, everyone. I'd like to begin with 2 important reporting-related callout. First, we have now entered the second full fiscal year following the ibibo Group manager, which was completed at the end of January 2017. As a result, this reported quarter onwards, our results will provide readers a complete like-for-like and fully consolidated comparison on a year-over-year basis. Accordingly, we've removed pro forma disclosures from our earnings release. Second, this is also the first quarter post adoption of the new IFRS 15 revenue recognition standard, under which promotion expenses in the nature of customer discounts, customer inducements, or acquisition cost or royalty program costs, which were incurred previously, were recorded as marketing and sales promotion costs, are now being recorded as a reduction of revenue. As a result, the revenue for Q1 of this fiscal year stands at $137.4 million. Considering that we have adopted the new standard, by using the cumulative asset method, the comparative information has not been restated and the revenue for Q1 of last year stands at $192 million. Beginning this quarter, we've also changed the non-IFRS financial measure, revenue less service cost to adjusted revenue. Accordingly, adjusted revenue will henceforth reflect the true value addition of travel services that we provide to our customers. The adjusted revenue at $170.1 million grew by 25% year-on-year in constant currency terms compared to $141.2 million in the same quarter last year. As this is the first quarter post adoption of the new revenue standard, I'd walk through the computation of adjusted revenue. In the same quarter last year, the IFRS revenue of $192.1 million has $9.3 million of promotional expenses, which were netted off as a contra revenue. This was added back along with a deduction of $60.2 million towards cost of services, where the company act as a principal instead of acting as an agent in computing the adjusted revenue of $141.2 million. In this quarter, in view of the new revenue standard, the IFRS revenue of $137.4 million has $92.4 million of promotional expenses, netted off as contra revenue. Adding this back along with the deduction of $60.2 million towards cost of services, results in existed revenue being $170.1 million. Correspondingly, these promotional expenses netted as contra revenue to the tune of $92.4 million in current reported quarter and $9.3 million in the same quarter last year has resulted in total marketing and sales promotion expenses increasing marginally to about $149 million versus $142.4 million in the same quarter last year. During Q1, while our marketing and sales promotion expenses have increased by about $7 million on a year-on-year basis, our adjusted revenue has drawn by about $29 million on a year-on-year basis. Due to all other costs largely remaining in line with last year, this has helped us drive the reduction of about $19.5 million in adjusted operating losses. The adjusted operating loss, therefore, has gone down from $52.3 million in Q1 last year to $32.8 million in Q1 this fiscal year. Before I delve into further highlights of the reported quarter's financial performance, I'd like to recap that during the last fiscal year, which we started soon after the ibibo Group merger, we had focused on driving higher growth in the combined business during the first half of the year and then shifted focus on improving operating efficiencies in the second half of the fiscal. In the new fiscal year, subject to any changes in market dynamics, we would like to continue driving operating efficiencies, particularly in the first half of the fiscal year, while accelerating growth in the back half of the fiscal year. In the given backdrop, here are a few more highlights from our first quarter's financial performance. In Q1, we report our highest quarterly gross bookings ever of over $1.4 billion, representing a year-on-year growth of over 26%, and a quarter-on-quarter growth of over 23% in constant currency terms, largely in line with the gross booking growth. As I had mentioned, our adjusted revenue of $170.1 million grew by about 25% year-on-year, and also a 22% quarter-on-quarter growth in constant currency terms. During Q1, the adjusted revenue growth and expand efficiencies achieved was the result of greater brand loyalty, driven by increased effectiveness of customer-retention programs and the continued optimization of promotional expense, particularly in the budget segment of hotels as well as optimizing of other operating cost lines. Let me now share more details of our key business segments, starting with the strategically important hotels and packages business. During the seasonally high quarter, total hotels and packages room night increased to over 6.7 million room nights, which is a 16.3% year-on-year growth, a slight acceleration in the rate of growth when compared to the year-on-year growth of about 15% achieved in the previous quarter. The quarter-on-quarter growth in total H&P room nights was about 38%, reflecting the seasonality of the travel industry and helped by growth in holiday packages room night. In standalone hotels, growth in terms of room nights at 18.1% year-on-year of broadly in line with the year-on-year growth rate reported in the previous quarters. The quarter-on-quarter growth in online standalone hotels was about 38%, again reflecting our ability to make most of the peak seasonalities. Moving to our air ticking business, where we continue to grow alongside the domestic aviation market. In Q1, our air ticketing segments increased to nearly $9.2 million compared to $7.8 million in Q1 of the previous fiscal year. And on a year-on-year basis, the air ticketing segments grew by over 17%. It is important to note that our domestic air ticketing segments grew in line with market and our international outbound segments continue to experience great growth. However, our de-emphasis on our legacy inbound rate ticketing business did have a muting effect on the overall reported air growth for the quarter. The net revenue for Q1 at $54.4 million for the air ticketing business was higher than the $45.6 million we reported in Q1 of last year, and reflects about 24% year-on-year growth in constant currency terms. In Q1, the bus ticketing business continue to grow robustly. For the current quarter, the bus ticketing business achieved adjusted revenue growth of 48.9% year-on-year in constant currency terms. This has resulted in more than $187.6 million of total bus gross bookings being achieved, and nearly $14.9 million bus tickets being utilized for travel and over $16 million in net revenue being earned from this fast-growing and largely underpenetrated segment. In Q1, our other business segments reported adjustment -- adjusted revenue of nearly $5.8 million, a majority of which was driven by the contribution of facilitation fees for travel insurance. Lastly, for the rest of the fiscal year 2019, we plan to keep executing on our 3 strategic priorities and remain on course to maintaining and expanding our market leadership, while continuing to optimize marketing and promotional expense, particularly in the budget segment of hotels. With this, I'd like to thank you for joining the call, and open up the call for Q&A. Operator, please?
Operator: Thank you. [Operator Instructions] Our first question comes from line of Shyam Patil of SIG.
Shyam Patil: Hi guys, thanks. This is Shyam. I had a couple of questions. The first question is, can you elaborate a little bit more on the competitive landscape, and any changes you've seen over the past few months, in the -- particularly in the hotels business?
Rajesh Magow: Yes, Shyam, right? Okay. Yes, so I think the competitive landscape by line of business, we will start with hotels since you wanted to talk about that. We have seen -- at the premium space we have seen a multinational brand, so we see Booking.com. I think more or less the same level of intensity, if anything, we do know that our focus on the premium space has been paying off good dividends, and we have been actually going ahead nicely and penetrating well in that segment. In the budget space, again, we do see multiple players, as you know that we have been working now and offering OYO on our platform. But OYO is also selling directly on their own platform. OYO has definitely been one of the fastest growing in that segment. Besides that, we do see a few other players like Yatra, like Cleartrip on and off. Paytm has not been in the budget space but we understand that they could be looking at getting into that space now. That's pretty much the landscape on the hotel side. Again, on the premium and on the chain space, we do also see Expedia, as well as their other brands from the Expedia's table, as well as we see Agoda from the Booking.com or Booking Holdings table also complete up the premium end of the high end. Coming to air, it's largely like, Mohit mentioned in his talk, we've managed to maintain our market leadership at about 24% of the entire flying market. If we look at just the online part of the market then we are close to about 2/3 share. The next largest player in the air market would be Yatra, and then Paytm is also one of the players in the domestic air market. On international air, we find again Yatra as well as Paytm and Cleartrip as well. So these are broadly the dynamic we see out there. We see Expedia on international air as well.
Shyam Patil: Great, thank you. And then as said -- one more follow-up. On the partnerships with OYO and Flipkart, could you just talk a little bit about the progress you've made there? And what some of the key learnings are for you thus far?
Rajesh Magow: So to start with OYO. So OYO who is a clear supply addition partnership, if you will. And since the time that we have kind of have OYO on our platform, clearly we've been able to actually work very closely with them to be able to grow the budget segment in the -- at the right kind of price point as well so not necessarily, just going completely crazy on pricing or discounting, et cetera. And as I highlighted as part of my script that we also have GoStays in our budget kind of supply side as well. So combined with OYO and GoStays, in terms of just a supply expansion breadth and depth of it, we've done quite well. And it's only going to get better from here. Now as far as partnership with Flipkart and PhonePe is concerned, early days, but we have seen some early traction definitely to start with on PhonePe, as well as on the domestic flight segment for MakeMyTrip brand on Flipkart. So the idea there was to kind of just write down the REITs that they have to the Tier 3, Tier 4, given their category that they operate in. The number of products that they have really, really very wide in range. And that was the idea. And the good news is that so far whatever we have seen from the numbers and the traction that we've seen that we're getting new set of customers. So it's not necessarily cannibalizing that's exactly what the hypothesis is. It's kind of working out well and ramping up slowly and gradually, bus segments and the hotel segments on PhonePe are now few months old, and we have seen some traction in the ramp-up happening. And we're just trying to expand and add more products on both the platforms. So as soon as we have some material kind of numbers to report, we will give more color on that. But early signs look quite good.
Shyam Patil: Great, thank you very much.
Operator: Thank you. Our next question comes from line of Kevin Kopelman of Cowen and Company. Your line is now open.
Kevin Kopelman: Great, so I just had a couple of questions. First, could you give us an update on the outlook for how you're thinking about the free cash flow, or free cash flow burn for the year? And on that, it looks like working capital was a little bit worse year-over-year. Is that just a timing issue or did that reflect any other developments? And then I have another question. Thanks.
Mohit Kabra: Sure, from a cash position point of view, we continue to have good cash balances on the balance sheet. The cash and cash equivalents as on end of June, it stood at about $356 million. So coming to the slight deployment in working capital, in the current quarter, typically in the peak season quarter, high-travel season quarter, we would generally see a release in working capital, but this quarter, we've seen a deployment, this is purely coming out of a one-off, wherein due to a change in contracting, that we are kind of putting in place from the beginning of this fiscal, the receivables from one of our GDS partners have kind of accumulated additionally for the quarter. And therefore, we should see that getting reversed in the coming quarter. So I hope that should explain the one-off in the -- in terms of deployment into working capital in the quarter.
Kevin Kopelman: Okay, great. And then just a different direction, can you talk more about the bus segments, and how you are viewing that developing with the kind of 45% growth rate that we saw that quarter, do you expect it to keep growing at a rapid rate? And what are the key drivers behind that? Thank you.
Rajesh Magow: Sure. We're very encouraged with the growth on the bus segment and this the first time that we kind of reported as we've mentioned as a new reporting segment, and you'll, obviously, get more and more color every quarter. But we've seen some of this growth continuing actually for last few quarters. And we do see that it's likely to continue going forward as well, going to stay robust. And the reason for that is that, one, we obviously, on redBus, and not only redBus, but MakeMyTrip and Goibibo, also has 2 additional distribution platforms, they are actually selling bus segments and growing as well. So all of this put together, like fee distribution platforms kind of add to the distribution strength to start with. But on the operator side, the headroom that we see is more on the state transport undertakings, which is like largely off-line at this point in time. And we have seen sort of state after state, first of all, there is a national drive of digitization that is happening in general, which is kind of helping all the public sector kind of move online as well. And some of the state transport corporations are also following suit on that. So like we mentioned a couple of the state transport corporations, we kind of added last quarter. And we believe as we move more and more or mode STCs, State Transport Corporations on our platform, we will see this growth continuing. And of course, the private sector is also -- private operators is also expanding on an overall basis as well. So do think that the road transport and road transport, bus segment and potentially, the intercity cab segment is going to, because there is need no matter how much flight -- the domestic flight market is growing and we all know that growth has been fairly robust as well. And then there is a rail sector, where lot of the India travels on rail as well. But there is definitely a big, like we gave the number $3.5 billion total market size of the bus segment as well. So all modes of transports are likely to grow and specifically, bus, which is underpenetrated today.
Operator: Thank you. Our next question comes from the line of [indiscernible] of Fosun RZ Capital. Your line is now open. [Operator Instruction] Our next question comes from the line of Shaleen Kumar of UBS. Your line is now open. I apologize our next question comes from the line of [indiscernible] of Fosun RZ Capital. Your line is now open.
Unidentified Analyst: Hello. This question is regarding the new reporting standard that has come about. We're just trying to understand how this numbers, say, compares to the chain in the past few quarters, and now that we're seeing $92 million number being adjusted, is this number higher, lower than the previous quarters, and is this expected to keep going up or is this expected to come down? And would this be like a similar composition in terms of marketing spend, where $92 million is contra revenue and $50 million is the other above-the-line ad spend?
Mohit Kabra: Yes, maybe I'll take that. Clearly, as I called out during my part of the callout on the financial highlights. We have adopted the new revenue standard on a cumulative basis and not stand, as you know, done a comparative restatement for the past fiscal. So therefore, the last year's historical numbers have not been restated. And this is largely for the reason that if you really look at it, it is more a presentation issue across lines and at a net level there is no difference to the bottom line. But we've always done historically as well is that we've kind of had a non-IFRS metric revenue less service cost, which used to largely be reflecting the true value addition that we believe we do as a travel service provider by adjusting any promotional expenses, which were netted off from revenue and also kind of importantly deducting cost of services, where we kind of take on a primary oblique or a principal position versus an agency position. The adjusted revenue that we have now started reporting as part of our non-IFRS financial measure continues to be like-to-like with the revenue less service cost. And therefore, we believe that's a good measure to track the growth in revenues for us. As to the composition of this $92 million, and whether this will continue to keep increasing over the coming quarters, difficult to call that out. As you would see, over the last few quarters, we have been optimizing our marketing and promotional expense overall and at least as a percentage of gross bookings, these expense have been coming down on a year-on-year basis. If that continues, we believe these numbers or the adjustments should perhaps start, kind of, getting smaller in size. But also factoring in the rationale that we're kind of continuing to be at a high-growth company will have to kind of [indiscernible] the trends for a couple of quarters before we can give out a longer-term trend over this.
Unidentified Analyst: Got it. Thank you so much.
Operator: And I'm showing no further questions at this time. I'd like to hand the call back over to management for any closing remarks.
Jonathan Huang: Thank you, everyone for joining our call this morning. We certainly look forward to speaking with each and every one of you very soon. And that concludes our call for today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. That does conclude today's program. You may all disconnect. Everyone, have a great day.